Operator: Greetings and welcome to the Clean Energy Fuels Third Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Tony Kritzer, Director of Investor Relations. Thank you. You may begin.
Tony Kritzer: Thank you, operator. Earlier this afternoon, Clean Energy released financial results for the third quarter ending September 30, 2016. If you do not receive the release, it is available on the Investor Relations section of the company's website at www.cleanenergyfuels.com where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we’d like to remind you that some of the information contained in the news release and on this conference call contains forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict. Words of expression reflecting optimism, satisfaction with current prospects, as well as words such as believe, intend, expect, plan, should, anticipate and similar variations identify forward-looking statements, but their absence does not mean that the statement is not forward-looking. Such forward-looking statements are not a guarantee of performance and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of Clean Energy’s Form 10-Q filed November 3, 2016. These forward-looking statements speak only as of the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. The company’s non-GAAP EPS and adjusted EBITDA will be reviewed on this call and exclude certain expenses that the company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP and should not be considered as a substitute for, or superior to, GAAP results. The directly comparable GAAP information, reasons why management uses non-GAAP information, a definition of non-GAAP EPS and adjusted EBITDA, and a reconciliation between these non-GAAP and GAAP figures is provided in the company's press release, which has been furnished to the SEC on Form 8-K today. Participating on today's call from the company is President and Chief Executive Officer, Andrew Littlefair; and Chief Financial Officer, Bob Vreeland. And with that, I will turn the call over to Andrew.
Andrew Littlefair: Thank you, Tony. Good afternoon everyone and thank you for joining us. The third quarter of this year is once again a very good one, showing continued growth in volume and revenue and more importantly was the fifth consecutive quarter in which we reported positive adjusted EBITDA. Our growth stems from several factors and the most fundamentals of municipalities, states or profit companies and other organizations continue to seek an alternative fuel that comes at a stable low price and most importantly is cleaner. Governments continue to strive for ways to clean up the air for their constituents and companies want to meet their own sustainability goals through the use of alternative fuels. More often than not that fuels natural gas because these organizations understand that natural gas fueling is the cleanest, most economical and scalable solution for fleet vehicles available today. And no other company provides them the quality and variety of fuels and services than Clean Energy. If there's any doubt that the moves natural gas is not contained to gain momentum then one only has to look at the number of fueling stations that we have built or expands in the first three quarters of this year. We have completed 44 station projects thus far and are on pace to complete 19 more by the end of the year. Allow me to highlight a few of the stations that we opened in the third quarter. In October, I had the honor in participating the grand opening of the state-of-the-art CNG fueling station we built for FedEx in Oklahoma City. Station is currently fueling 100 of their Class-8 CNG trucks and FedEx has said that they plan to add at least another 75 heavy duty trucks as they grow their fleet at that location. This impressive station has four fast fueling lanes as well as a time fuel station, which has six zones and eighteen hoses using Clean Energy’s new clean CNG compressors. These compressors produce the cleanest downstream gas ensuring cleaner combustion at the vehicle. This design dispensed approximately 2.5 million gallons of CNG per year. Joining me at the event were Oklahoma Governor, Mary Fallin; FedEx Chairman and CEO, Fred Smith; and our co-founder Boone Pickens. I believe their attendance signifies the growing importance of natural gas fuel for the State of Oklahoma and FedEx, one of the largest and most sophisticated logistics companies in the world. Fred has been a leader in pushing for the entire country to become more secure through energy independence and is doing his part by making sure FedEx operates at the most efficient and sustainable level. Transitioning a portion of FedEx – FedEx’s freight fleet to a fuel that will substantially reduce greenhouse gas emissions is an example of that commitment. Additionally, we believe are nationwide network stations, expertise and skilled service technicians ideally positions us to fully support FedEx as we anticipate their expansion with natural gas fueling in their fleet. Our public station network is growing. We also opened a new LNG station of five Washington and just outside of Tacoma, a station located on Interstate five completes a key transportation quarter in the northwest and enables our fleet customers to operate along the entire west coast from Seattle all the way down to San Diego. In our core markets, we continue to see growth as well. Earlier this quarter, we announced that we were awarded a contract for Washington Metro Area Transit Authority, which provides transit services for more than 4 million people throughout the nation's capital. We now operate two of their transit stations that fuel over 580 CNG buses and represent about six million gallons annually. 2016 is shaping up to be one of our strongest years in the Refuse sector. We are on target to complete 34 station projects and our Refuse volume is tracking to grow 16% over 2015. You’ve heard a speak about our renewable natural gas offering Redeem for a few years now, but I can't overemphasize the role that it is playing in giving companies transit authorities and municipalities the ability to achieve their sustainability goals. Because it has 70% less carbon than diesel customers are increasingly contracting with us to guarantee a supply of Redeem. Redeem’s volume doubled from 2014 to 2015 and is on pace through three quarters of this year to grow 20% while contributing $11.3 million in revenue in the third quarter. We have expanded Redeem’s footprint from California to other states and are currently in discussions with some of the country's biggest brands to add their fleets to UPS, City of Santa Monica Republic Services and others that call Redeem the renewable fuel choice. As I look at what's happening in the clean air policy arena, I cannot help to be impressed. We were at the forefront of several developing public policy initiatives that are very bullish for the advancement of natural gas vehicles as a cleaner alternative. Clean Energy lead a coalition effort to help pass S.B.32 in California which not only protects the low carbon fuel standard, it also requires the state to reduce greenhouse gas emissions, 40% below 1990 levels by the year 2030. This put stability in the clean air program for another decade. We are also successful in helping with the passage of AB1613, which resulted in the appropriation of a $150 million for more sustainable heavy duty vehicles and off road equipment. A portion of which will be specifically allocated for low NOx trucks. We are working with the California Air Resources Board on their proposed state implementation plan to promote the adoption of 900,000 medium and heavy duty trucks to low NOx over the next 15 years. In addition, 50% of the fuel must be renewable like our Redeem fuel. This is probably the largest and most significant piece of alternative fuel natural gas friendly policy to ever be proposed. This plan recognizes the threat NOx poses to air quality and the impact cleaner trucks and fuel could have on it. The good news is that solution is currently available with the Cummins-Westport 8.9 low NOx mission engine and soon to be followed by the 12 liter and 6.7 liter. Additionally even more immediate is the new comprehensive Clean Air Action Plan being developed by the ports of Los Angeles and Long Beach to improve the air quality in one of the busiest ports systems in the country. We spearheaded the initial Clean Truck Program in the port back in 2008 which helped launch natural gas fueling in the heavy duty trucking market. Now due to stricter air quality mandates and the aging truck fleet, the ports are embarking on the next phase of the Clean Air Action Plan. We anticipate that deploying thousands of new trucks powered by the near zero NOx engines and fueled with low carbon renewable natural gas will be an instrumental part of this ambitious plan. We'll keep you posted as this continues to develop over the next few months I am very encouraged not only by the enormous impact these programs should have on the adoption of cleaner running trucks in California but as with many other progressive environmental initiatives spearheaded by California, we often see similar Clean Air Programs adopted in other states. In the last few earnings calls I told you that our primary focus for 2016 would be to deleverage, the balance sheet conserve cash and grow our volumes. On the last call I reported that we’ve retired the remaining balance of convertible notes that were outstanding and due at the end of August. To-date this year we have reduced our convertible debt by $215 million. We continued our deleveraging effort this quarter by paying down $50 million dollars of a working capital line. At the end of the quarter, we had $119 million in cash and short term investments on our balance sheet and less than $5 million of current debt. Our next principal payment on our convertible debt is not until July of 2018. And we will continue to look for opportunistic ways to reduce or refinance our debt. Finally we continue to be as efficient as possible, we’ve reduced our SG&A by 7% year-over-year, while increasing our margin per gallon almost 14% over the third quarter of last year. For the year our CapEx budget should be than $25 million, which will be more than a 50% reduction from last year. So I'm optimistic as we continue to execute our plan to grow our business, reduce our debt and conserve cash. And with that and for more numbers, I'll turn the call over to Bob.
Bob Vreeland: Thank you Andrew and good afternoon to everyone. Our financial results and volume growth continued on positive trends in the third quarter. And we improved our capital structure. Our financial results continue to trend positively due to the gross margin contributions from our volume related revenue, our increased Station Construction projects sales and the alternative fuel tax credit revenue, which we refer to as VTEC. Our volume in the third quarter of 84.5 million gallons was an increase of 5% over last year. And resulted from growth in CNG gallons offset partially by lower LNG. and RNG gallons. For CNG was saw a 9% volume growth led by our refuse and transit sectors. The LNG gallon decline of a million gallons was bulk supply related. Our RNG gallons decline as we continued to sell more RNG gallons as redeemed into our vehicle-fueling network and the redeemed gallons are included in our CNG and LNG gallons. Redeem volume for the quarter was 13.5 million gallons. The increase in third quarter revenue over a year ago was driven by higher volumes increased construction sales and VTEC, offset partially by a decline in compressor sales. Our overall gross profit margin improved from a year ago due to a higher effective margin per gallon on higher volumes as well as the benefit of increased construction sales and the addition of the VTEC in 2016. Our effective margin per gallon was $0.33 per gallon compared to $0.29 for the third quarter of 2015. Both quarters included the state federal environmental credit LCFS and the rents, which continue to favorably impact our effective margin per gallon. Our SG&A of $25.9 million in the third quarter was 7% lower than a year ago as we have discussed on prior calls, we don't expect significant changes in our current SG&A run rate but we continually evaluate our SG&A spend. The other income and expense category for the third quarter of 2016, included a net loss of $700,000 related to debt reductions. In 2015 other income and expense included $2.3 million in gains related to a legal settlement and earn out associated with our former Dallas bio methane plant. As I highlight some of our net results. I want to point out when evaluating the three and nine month periods between 2016 and 2015 there are some items impacting the comparability, which we've pointed out in prior earnings calls. Specifically our 2015 results include VTEC while 2015 results do not. And our 2016 results include other losses and gains from our debt reductions. With that said our GAAP net loss for the third quarter was $12.6 million compared to GAAP net loss of $23.1 million in 2015 an improvement of 45%. Our adjusted EBITDA was $12.9 million for the third quarter of 2016 compared to $3.1 million in 2015. Our GAAP net loss year to-date through September 2016 was $8.3 million versus a net loss of $84.2 million for the same period in 2015 an improvement of $75.9 million. And finally our year to-date adjusted EBITDA of $67.4 million through September 2016 has improved by $72.5 million on a year-over-year basis. From a balance sheet standpoint as Andrew mentioned at the end of September our current debt balance was approximately $5 million compared to a current debt of $139 million at the end of June. This reduction was a result of paying off the remaining balance of our SLG convertible notes. We used cash and stock to satisfy that payoff and the pay down of out bank line. In addition to paying down our bank line we also extended its maturity to September 30, 2018. With $119 million of cash and investments at the end of September we remain in a good liquidity position. Our operating cash flow of $43 million for the first nine months of 2016 has improved by $44 million, compared to last year. Looking forward to the fourth quarter we anticipate continued year-over-year volume growth and our environmental credits from both natural gas and Redeem will benefit our results and will continue to record VTEC revenues. With that operator. We’ll open the call to questions.
Operator: At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Eric Stine with Craig-Hallum. Please state your question.
Eric Stine: Hi everyone.
Andrew Littlefair: Hi Eric 
Bob Vreeland: Hi Eric 
Eric Stine: I’m wondering if we can just take into the Redeem volumes there and just the outlook. How high do you think that that ultimately can go in terms of volumes and are there limiting factors? I mean is it needing more third-party supply, or how should we think about that going forward?
Andrew Littlefair: Yes, Eric I think that you’re just kind of seeing the beginning of this fuel. I mean you know in my remarks I talked about California in the – in that ship plan that I mention it calls for 50% of the fuel which just kind of doing the math there, loosely, I mean you're talking about a few billion gallons of fuel just for that one segment a year. And so there's got to be a lot of this fuel created and developed overtime and we're seeing that, we're seeing sources of renewable natural gas being developed all over the country, in digesters, and wastewater treatment and other way. So this is a hot new industry and you'll see a lot more of it. We think we're well-positioned because we have that infrastructure nationwide infrastructure of our customer stations and our stations. You know what, almost 600 stations. So we have that pathway to take this fuel and get it into that valuable market. And so today as you know about doing the math, we're going to sell somewhere around 60 million gallons or so of Redeem. I think I said in the last call that over the next couple years we should at least double that, I think. And so we're working hard to do that, we’ll have some other announcements coming on how we expect to move forward on developing that business. We're seeing a lot of interest in it from our customers. And so I don't have a number for you Eric, I’ll just let you know how big, many billions of gallons ultimately this is over time, but it’s going to be a very large market. Remember it's not just going to be natural gas, right you're going to renewable diesel, as well in the future. And we know there's rules coming up with new standards in 2023 by EPA. And you'll see engine standards and fuel standards that will require increasing levels of renewable fuel. Nice thing is that we’re well-positioned, we have a business that does that, we're creating, I think about 50% of the credits today in our space. And we have the pathway to monetize those. So we're pretty focused on this business.
Eric Stine: Yes that’s sort of again – I mean this is something where you're just starting.
Andrew Littlefair: Right.
Eric Stine: I mean, I'm wondering is the Re-Op [ph] of LCFS, I mean is that something that I would assume that means more investment in the market gives people certainty that they can move forward on this? And then as you said, you are the transportation pathway for people to monetize those credits.
Andrew Littlefair: That's right. And so to answer your question and I went on a long-time but yes there will be more third-party supplies. And we compete for some of those supplies, but yes we have a little bit of a lag up because we have the pathway, right. We have the downstream delivery system. Yes, the AB 32, I think was really key. The part or portion of that law was going to be done in a couple years. Now you have another decade. So yes, you’ll see more and more, there are some deep bottlenecking done for bio methane and landfills in California, as well, so money put in place for that. You’re going to see more and more supply come in California and other states. But I think you're just beginning to see, I’ve talked, you and I have talked before, I think this is going to be a big business.
Eric Stine: Yes, okay. May be just turn into the cleaner action plan, this current version. Maybe just talk about some of the lessons learned in the first going around in 2008, 2009 and maybe as a result how this one looks different? And what that could mean in terms of timing of rollout? You did mention a couple thousand trucks, but just maybe how does this one look different than the past going around, given lessons learned.
Andrew Littlefair: Yes, and it's interesting. Let me give you a little update and some of this is – first off this is complicated, right. You have the largest port complex in the country, Los Angeles and the Port of Long Beach. They compete. The city of LA is a large city of course. And of course, Port of Long Beach is a large city, they own those ports. And those are commercial ports and they compete with each other. But they join together on this Clean Air Action Plan and they did it once before. Clean Air Action Plan involves shipping, and dockside power, and goods movement, and locomotives. But a big part of it is the trucks. And yes we learned a lot from it once before. You’ll remember we went from a situation where you had really kind of somewhat unregulated old trucks kind of vintage trucks in the port, mostly owner-operator, more tucks than what needed, we’re kind of back to that point again. Most of which were pre-2007. Clean Air Action Plan really got put in place last time in 2008, I think. And so the goal that time around was to make the new trucks, because 2007 you remember was new to emissions standard, it was to get rid of these old 2000, and 1999 trucks and get them to be the latest technology. Well, so here you are today with 16,000 trucks in the port, most of them are 10 years old they’re coming up on 10 years. In fact, even some of our early natural gas trucks are being retired, right as they are eight years old, nine years old. And the goal is – and we think today is there’s going to be kind of a draft plan put out. And I don’t know when we’ll be able see it, but we know that the ports are going to get together on the 17th and begin to kick off a public comment and a period of a few months. And they’re hoping to adopt a new Clean Air Action Plan and the truck piece will be the major component of it in March of this coming of 2017. The play here is that they want to clean up kind of once in for all these trucks. And so we're envisioning and there's a tension right. There's a tension between not doing anything till there's a new standard in 2023 just allowing people to keep diesel trucks and using natural gas trucks or low NOx trucks or which obviously is our preferred plan that we think is most cost effective and ready today to help your quality today. Or electric trucks and fuel cell trucks and we of course don't think those are ready. But we think it will happen as this all shakes out. And there's labor unions involved and there's the cities involved and there's environmental justice advocates involved and the people in the community they're all going to weigh in as well as the industry. We think they're going to move to try to put in place a standard that would encourage low NOx trucks before what we think will be a new low NOx standard sometime in 2023. Early and then if you do you get incentive dollars to upgrade your truck to a low NOx truck or an electric truck and you'll get a certain level of grant money. And if you don't you're going to end up paying probably some sort of fee to be able to move around the port. And that's what they use last time. And so we're guessing that that will be the case and I think Eric that it will probably and it's going to take some wrangling here but I think it'll probably you'll end up with a plan that will call on we look at about – there's about 7,000 or 8,000 almost maybe its 8,000 to 10,000 of the 16,000 trucks that probably need to get replaced in the next three years. So when you think about what we're doing today with new natural gas trucks in the marketplace. This would be huge, right and it would be 2,000 to 3,000 a year over the next few years obviously very important because we have those fueling infrastructure and we're largest in the market here. And I think that's what you're going to see and I think the poorly better off for it. I think it'll be really helpful to drive down the cost - incremental costs I think it will be good for the industry. And so what I think is going to happen but there will be some ebbs and flows in this whole thing before it gets adopted in March.
Eric Stine: Okay. 
Andrew Littlefair: But I think it's a – I think it's pretty big and you multiply that 10,000, right.
Eric Stine: Yes.
Andrew Littlefair: So you’re talking about a lot of fuel right here in our backyard and I think probably one of the most important things is it’s a precursor to what the policy that you are going to see adopted later this year and early in January of the state implementation plan, which is where we are talking about hundreds of thousands of trucks. And that plan is calling for low NOx and renewable. And we are well positioned for that. So I see this is really important to get it right, and its potentially over the next few years, it’s 100 million gallons I would say over three years. It’s a 100 million gallons worth of natural gas volume. If it goes away we think it probably will.
Eric Stine: Right, right. Okay. All right, thanks for all that detail.
Andrew Littlefair: I’m sorry.
Operator: Our next question comes from Rob Brown with Lake Street Capital. Please state your question.
Rob Brown: Good afternoon.
Andrew Littlefair: Hey, Rob.
Bob Vreeland: Hey, Rob.
Rob Brown: Feel free to provide us as much detail as you want on this. On FedEx the expansion you’ve got station going now what – I guess could you layout what your thoughts on FedEx’s expansion or what their plans might be in expanding with natural gas?
Andrew Littlefair: Well, I’ve been kind of limited. Rob, what I can really say is let me just say that. We're encouraged. We're encouraged the way with this rollout went, we are encouraged that we are having more meetings with FedEx to look at other locations. I was encouraged that we had the senior leadership of FedEx in many different and I've learned a lot of this over time because we worked with them about the last four years launch this project but you know there's FedEx Express, there's FedEx Freight, there is Ground. We are working with really all other companies in different ways. FedEx rates that are big heavy-duty outfit that is about I think 16,000 trucks so that’s one that I’m really talking about in heavy-duty. So we are working with them and its really all I can say right now, we're working with them to kind of roll this out. I was encouraged that we had of course Fred there and also Mr. Mike Ducker, who’s President of FedEx Freight. And really senior management in terms of fuel, procurement and trucks and facilities that we are all there that day. And –those conversations continue. And that’s really all I can say right now. These are big outfits. I’m so impressed with the FedEx there 460,000 employees, so they are big. And in the course when you have a big company like that you have some processes that you got to go through to keep all the trains running on time. So we are working with them, we are working with Freight, we are working with Express and we are working with Ground. And we have natural gas product for each of those right now. In fact we had a meeting going now today with FedEx and we are optimistic but that’s really all can I say right now, Rob.
Rob Brown: Okay, good. Thanks for the overview. And then I think you said you have stations still gong for the end of the year is that over Q4 kind of booked in Q4 is that right?
Andrew Littlefair: Yes, I think I always give a little wiggle room here, the case when you have sum that out flop into the first week of January but it looks like we just had a meeting on this day or day two or ago. It looks like we should complete 63 stations, chance we may even slip one end. What I always look at this time a year and is how many we have in the queue for next year and I’m not going to give you number right now but it is tracking to kind of what we did year in terms of the backlog or those that we all have under contract moving forward. One of the things we talked about in these calls before is in a challenging oil environment of time these are checkpoints for us we are still able to look at how our customers dealing, are they wanting more stations or we needing to build more stations for them and that’s holding up. So it’s a very good barometer for us as we look forward.
Rob Brown: Yes.
Andrew Littlefair: Yes, the 63 other than the year when we add a big spike. When we build out our highway is about as many as we’ve ever built within a couple here and there. So its still tracking kind of to about as many as we built. And that’s about more than what is that that’s little over one week so we are busy.
Rob Brown: Thank you, I’ll turn it over.
Operator: Our next question comes from Pavel Molchanov with Raymond James. Please state your question.
Pavel Molchanov: Hey, guys. A week ahead of the election I want to ask you about the topic that always comes up right before the end of the congressional session which is what’s going to happen with the VTEC, you guys have pretty DC sources, is there some sort of omnibus or consensus bill that we might get an extension bastion?
Bob Vreeland: Yes, hi, Pavel. We have a fellow that runs that effort for us up there and we've been working on hard on this. We have reason to believe, and of course, this has been pretty a wild political season. We think that the tax – you remember that there was always – there has been a stated interest in tax reform, big time tax reform. And so that always had us wonder whether or not these tax things like the VTEC is a part of which would get somehow redone and put in, and that would morph into tax reform. Well, as we know there hasn’t been a tax reform this year. It looks like the coalition of tax businesses that have these different tax credits and tax bills that we've always kind of called the tax extenders, it looks like. That group of tax credits and such are still in play. And those looks to us like that is likely to be acted on the lame-duck session. There’s a chance that it might not be, where we sort of think is an industry that our VTEC is in place. And there will be some things, Pavel, maybe you've seen where there's been some people saying that certain renewable tax deal shouldn't be acted upon. Well, we're not in that category. So there's some others that were in that category. We're kind of in that overall tax extenders package and it looks to us like if there's a good chance that will be addressed in the lame-duck; and if not, in the next Congress, but I'm still kind of thinking it'll be dealt within the lame-duck session.
Pavel Molchanov: Okay. And remind me I know every quarter it's a function of your sales mix. But what’s kind of the average run rate of VETC? I know it’s been – I think $6.7 million for Q3. Is that fairly standard or was there anything unusual about that number?
Bob Vreeland: No, that’s fairly – this is Bob. That’s fairly standard. It will move a little with as volume moves, but not all volume is VTEC eligible and that sort of thing, but that's fairly standard number.
Pavel Molchanov: Okay. Appreciate it guys.
Andrew Littlefair: Okay. Thanks.
Operator: Your next question comes from John Rosenberg with Loughlin Water Partners. Please state your question.
John Rosenberg: Hi. Good afternoon.
Andrew Littlefair: Hi, John.
Bob Vreeland: Hi, John.
John Rosenberg: Thanks for taking my question. It’s a small housekeeping thing. Probably not much of anything, but I noticed that your LNG volumes dropped off, seems like a volatile number of quarterly but could you talk a little bit more about specifically the LNG market? Are there other players? Is it a matter of share? Is it – I mean I can't quite see a seasonal pattern either.
Bob Vreeland: Well, I mean I can let Andrew to speak a little bit, maybe broadly about LNG, but specifically to the decline that was really kind of related to timing of bulk supply and our numbers can’t get a little lumpy if – between quarters because we will have some – as an example big utilities that may take bulk supply and we kind of blow that out, but maybe that doesn't happen again exact same time in the next year.
John Rosenberg: And that was the case…
Bob Vreeland: That was. Yes. And so it was about 1 million gallons, it was different because we had a deal back last year for bulk. So we’re all – on the bulk stuff that can move a little bit, the rest of it staying pretty steady.
Andrew Littlefair: John, I would say the growth on as the oil market tightened and we've seen the heavy duty market come under some pressure just been really because of fuel prices and we’ve been – think we've been competing with pretty well as a company. We've seen the heavy duty market slow some because of the fuel pricing, and the LNG market has – we've always believed that sort of the longer haul, irregular route-type business, really favors LNG, and we have some big customers that like that new station up there that we just opened our fright, that's a big LNG station for a big West Coast LNG trucking fleet. But when the market sort of tightened down here, there's more CNG business and there’s LNG business right now. And so that's the LNG market is tougher for us.
John Rosenberg: I understand that you guys have had a lot more success in the CNG job adoption and that Class A trucks haven't come online. I just would have thought – and again, I'm not aware of the bulk stuff, so thank you very much for clarifying.
Andrew Littlefair: Yes.
John Rosenberg: Or I would have thought that even with a static with some kind of installed base and then some slight growth in that market which we would see that number entering out.
Andrew Littlefair: Yes. And I would think you're right, one of the other little factors in on the – specifically on the LNG side, and I mentioned it earlier in the comments here about the port of LA, we've seen some poor trucks LNG, one of our first biggest deployment of LNG trucks begin to retire LNG trucks in the port, and that's been significant. So those trucks are the ones that we bought in 2008, 2009 and some of those are coming off. So we've been adding LNG customers, but we've had some retire here in the port. And really right now we haven't seen any add back in because we’re kind of waiting to see what's going to happen in this clear action plan in the board.
John Rosenberg: If knocks, new standards coming down the line?
Bob Vreeland: Yes. Well, they figure there's a bunch of money coming, right, instead of dollars and rules. And so they're not going to replace their LNG trucks right now.
John Rosenberg: Okay. Great.
Bob Vreeland: And yet they've retired some, John.
John Rosenberg: So they’re running diesel right now?
Bob Vreeland: Well, yes. I mean I guess in the port of LA only 15% of the trucks down there are natural gas, right now.
John Rosenberg: Okay. Great. Well, thank you very much for the clarification.
Andrew Littlefair: Okay.
Operator: That does conclude our Q&A session. At this time I will now turn it back to Mr. Littlefair for closing remarks.
Andrew Littlefair: Well, thank you everyone for listening on the call this afternoon, and we’ll look forward to updating you on our progress in the next quarter. Good day.